Operator: Ladies and gentlemen, good afternoon. At this time, I would like to welcome everyone to QuickLogic Corporation's Fiscal Fourth Quarter and Full Year 2024 Earnings Conference Call. As a reminder, today's call is being recorded for replay purposes. I would now like to turn the conference over to Ms. Alison Ziegler of Darrow Associates. Ms. Ziegler, please go ahead.
Alison Ziegler : Thank you, operator, and thanks to all of you for joining us. Our speakers today are Brian Faith, President and Chief Executive Officer; and Elias Nader, Senior Vice President, and Chief Financial Officer. As a reminder, some of the comments QuickLogic makes today are forward-looking statements that involve risks and uncertainties, including but not limited to stated expectations relating to revenue from new and mature products, including the expected timing of such revenue; statements regarding our future profitability and cash flows; statements regarding the timing, milestones and payments related to QuickLogic's government contracts; statements pertaining to QuickLogic's future performance, design activity and its ability to convert new design opportunities into production shipments; timing and market acceptance of its customers' products; schedule changes and production start dates that could impact the timing of shipments; the company’s future evaluation systems; broadening the number of our ecosystem partners; and expected results and financial expectations for revenue, gross margin, operating expenses, profitability and cash. Actual results or trends may differ materially from those discussed today, including as a result of the Company’s audit, which is still underway. For more detailed discussions of the risks, uncertainties and assumptions that could result in those differences, please refer to the risk factors discussed in QuickLogic's most recently filed periodic reports with the SEC. QuickLogic assumes no obligation to update any forward-looking statements or information, which speak as of the respective dates of any new information or future events. In today’s call, we will be reporting non-GAAP financial measures. You may refer to the earnings release we issued today for a detailed reconciliation of our GAAP to non-GAAP results and other financial statements. We have also posted an updated financial table on our IR web page that provides current and historical non-GAAP data. Please note, QuickLogic uses its website, the company blog, corporate Twitter account, Facebook page, and LinkedIn page as channels of distribution of information about its business. Such information may be deemed material information, and QuickLogic may use these channels to comply with its disclosure obligations under Regulation FD. A copy of the prepared remarks made on today’s call will be posted on QuickLogic's IR web page shortly after the conclusion of today’s earnings call. I would now like to turn the call over to Brian. Go ahead, Brian.
Brian Faith: Thank you, Alison. Good afternoon, everyone and thank you all for joining our fourth quarter 2024 conference call. Due to external delays that pushed out certain contract awards, we reported Q4 2024 revenue slightly below the midpoint of our guidance and we will forecast lower Q1 2025 revenue than we previously anticipated. The good news is the contract logjam that had delayed some key awards by a little over a quarter has now loosened. With two new eFPGA Hard IP contracts now in the books, and several more expected in the very near-term, we anticipate a significant rebound in revenue and profitability beginning in Q2, and solid revenue growth, non-GAAP profitability and positive cash flow for full-year 2025. Last week we finalized a $1.1 million eFPGA Hard IP contract with a new defense industrial base, or DIB, customer that will use the 12LP fabrication process at GlobalFoundries, or GF. Due to the fact we already have eFPGA Hard IP established for that process, cash flow will begin in Q1 2025, and revenue recognition will be in Q2 2025. Last week we were also awarded the first phase of what we expect will be a seven figure Direct to Storefront eFPGA Hard IP contract with another new DIB customer. This application, which enables low-power processing of changing algorithms, is perfectly suited for our eFPGA solution. We expect to be awarded the balance of this contract in the second half of 2025. We anticipate design services and IP revenue recognition could begin in Q3 and carry into 2026. Following that, we expect Storefront revenue could begin as early as 2027. While some of our existing contracts have good Storefront potential that may materialize earlier, this is the first of what we believe will be several Direct to Storefront contracts during the next couple of years. Earlier this month, we won an eFPGA Hard IP design with another new customer. In addition to using a fabrication process for which we have already established our eFPGA Hard IP, this design will also use an off-the-shelf Hard IP Core for a data converter in a wireless application that we previously developed using our proprietary Australis IP generation tool. The ability to benefit from the work we've completed is a big deal. Having developed IP for fabrication processes and Hard IP Core designs lowers customer risks, shortens our development and revenue recognition cycles, and provides us with favorable financial leverage in the form of improved margins. We anticipate these benefits will start to become meaningful this year. In addition to these recent wins, we announced the award of the fourth tranche of the Strategic Radiation Hardened FPGA government contract valued at approximately $6.6 million on December 23. This brings the total of our awards through four tranches to roughly $34 million. The total potential for this contract, including future options, is currently $72 million. We are seeking permission to share more details on the expanded scope of the program and test-chip timeline. Turning to Intel 18A, we expect to be awarded the first of two eFPGA Hard IP contracts within weeks, and the second one very shortly after that. The combined value of these contracts is anticipated to be mid-seven figures. If the contracts are both awarded in the time frames outlined by our customer, we expect to recognize all of the revenue in Q2 2025. Due to NDAs and the formal process for press release approval, there may be delays in the announcements of these contracts. Please keep in mind, as it stands today QuickLogic is the only company that has eFPGA Hard IP that is optimized for Intel 18A. We believe the significant investments we made during 2024 ahead of contract awards to realize this unique position will provide us with solid returns on that investment going forward. Turning to the competitive landscape, last November, Analog Devices announced the acquisition of our most capable competitor, FlexLogix. This is a clear testament that large semiconductor companies are embracing the value of incorporating eFPGA into their standard products. Following this acquisition, we announced the appointment of FlexLogix former VP of Sales, Andy Jaros as the new QuickLogic VP of IP Sales. Since FlexLogix eFPGA IP will no longer be available for licensing, there is a notable void in the market that we can fill. This is particularly true for customers that now need to secure a new long-term partner. Andy is working closely with the former FlexLogix customers that have multi-year eFPGA roadmaps to introduce the benefits of moving to QuickLogic. Now let me take a moment to update our progress on existing contracts that are scheduled to contribute to our 2025 eFPGA Hard IP revenue. A number of these contracts have achieved significant milestones during the last several months. These include tape-out and in several cases, test chips that have been completed and are in validation. This is important because in some cases, test-chip validation will lead to an IP production license and in a few cases, new designs for our eFPGA Hard IP. These are also good illustrations that a long tail of revenue is commonly attached to our eFPGA Hard IP contracts and following that, a stream of royalties or Storefront revenue that can extend for years and in some cases, more than a decade. During the first quarter of 2024, we announced two contracts that target 12-nanometer processes. The first contract, is with a Defense Industrial Base customer and includes two cores that will be fabricated on the GF 12LP process. We completed our initial deliverables for the first core during Q3 and the second core during Q4. With our IP deliverables complete, we anticipate nominal revenue recognition during Q1 and Q2 2025 in support of customer test-chip development. We will leverage the eFPGA Hard IP we developed for this contract to accelerate revenue recognition for the new 12LP contract I mentioned earlier. The second contract, is with a large, well-known, international company. This design is for a new ultra-low-power SoC based on TMSC’s 12-nanometer process that is targeting a variety of commercial and industrial IoT AI applications. We completed our deliverables on this contract and recognized the associated revenue during Q3. Their test-chip has been manufactured and is currently being evaluated by the customer. We expect the evaluation to be completed in early Q2 at which point the customer will make a decision regarding a second design. In November 2022, I shared that we taped out a new device for a customer that incorporates our eFPGA Hard IP. While we are in a holding pattern due to a delay with one of the customer's subcontractors, we continue to believe we will resume work during the second half of 2025 and that this design has very substantial Storefront potential starting in a couple of years. Since our last conference call, we have engaged with this customer on multiple new ASIC and Chiplet design opportunities that incorporate our eFPGA Hard IP. These designs target other foundries and fabrication nodes for which we have already developed eFPGA Hard IP. This means we will be able to recognize revenue fairly quickly if we are successful in winning these engagements. In September 2023 we announced a leading technology company chose our eFPGA Hard IP for a design that will be fabricated using GF's 22FDX® platform. The customer has completed its design and tape-out, and test-chips are currently in fabrication. If all goes as planned, we anticipate revenue recognition of a production license during the second half of 2025. In November 2023 we announced a global semiconductor leader chose our eFPGA Hard IP for a design that will be fabricated on UMC's 22-nanometer process. The customer now has its test-chip back from fabrication and their evaluations are going very well. We anticipate continued involvement in their marketing efforts during the first half of 2025 and expect the design will generate production IP revenues for QuickLogic this year and royalty revenue beyond. A quick update on Chiplets. We attended the annual Chiplet Summit in January with YorChip. There was a definite uptick in interest this year. I think YorChip’s CEO, Kash Johal is right in his forecast that 2026 will be the year of the Chiplet, which should coincide well with YorChip’s introduction schedules for Merchant Chiplet solutions. This also dovetails well with the elevated interest we are seeing in AI inferencing at the edge. As a matter of fact, one of our existing eFPGA Hard IP customers that I previously mentioned is already leveraging our technology for an edge AI inferencing application. While the market for Merchant Chiplet solutions develops, we are continuing to work with various companies that are targeting internal ASIC Chiplet solutions using our eFPGA Hard IP. We already have existing contracts that may evolve to include ASIC Chiplet solutions. In line with our forecasts, we released Aurora 2.9 in Q4. Aurora 2.9 includes some very significant enhancements that you can read about on our website. Following this, we released Aurora Pro 2.9, which integrates Synopsys' Synplify FPGA synthesis software. The integration of Synplify was driven by large strategic customers who worked closely with us during beta testing. This integration has already helped us win one of the new contracts I mentioned earlier, and we believe many more will follow. We are on pace to include further updates for Aurora with the release of version 3.0 later this quarter. The new distributors that we've discussed in some detail during our last two conference calls are executing very well. In total, they have more than doubled the value of QuickLogic design opportunities they are addressing. While the bulk of this value is for new eFPGA Hard IP designs, they are also 8 advancing the new EOS S3 and discrete FPGAs opportunities I mentioned last quarter. In line with the forecast I shared last quarter, shipments of EOS S3 increased sequentially in Q4 2024, and we are forecasting a modest sequential increase in Q1 2025. While our primary smartphone customer is scheduled to continue using EOS S3 in new designs that extend to 2026, the demand for older designs will likely decrease in 2025. Turning now to SensiML Last month we announced that our Board of Directors is actively exploring options for SensiML and there were preliminary discussions regarding the possible sale of the company or its assets. Due diligence is ongoing, so I cannot comment other than we expect a conclusion before our next earnings call and that our full-year outlook for solid growth and profitability does not include any contributions from SensiML. With that, let me now turn the call over to Elias for a review of the financial results, and I will rejoin for our closing remarks. Elias, please go ahead.
Elias Nader: Thank you, Brian and good afternoon, everyone. Total fourth quarter revenue was $5.7 million, within our guidance range. Total revenue was down 24% from Q4 2023, but up 34% compared to Q3 2024. New product revenue in Q4 was $4.7 million, down 32% from Q4 2023 and up 32% compared to Q3 2024. Mature product revenue was $1.0 million, up from $0.7 million in both Q4 2023 and Q3 2024. The decreases in total revenue and new product revenue from the same period a year ago were mostly due to the timing of certain large eFPGA IP contracts. Non-GAAP gross margin in Q4 was 62% in line with our outlook range. This compared with non-GAAP gross margin of 78.3% in Q4 2023 and 60% in Q3. Non-GAAP operating expenses in Q4 were approximately $2.9 million, just below the low end of our outlook range. This compares with non-GAAP operating expenses of $3.1 million in the fourth quarter 2023 and $3.3 million in the third quarter of 2024. Non-GAAP net income was $0.6 million, or $0.04 per diluted share. This compares to non-GAAP net income of $2.6 million, or $0.18 per diluted share, in Q4 2023, and a non-GAAP net loss of $0.9 million, or $0.06 per share, in the third quarter of fiscal 2024. The difference between our GAAP and non-GAAP results is related to noncash, stock-based compensation expenses. Stock based compensation for Q4 was $0.9 million. For the fourth quarter, two customers accounted for 10% or more of our revenue. At the close of Q4, total cash was $21.9 million inclusive of an $18 million credit facility. This compared with $22.4 million inclusive of a $20 million credit facility at the close of Q3. The timing of payments for accounts receivable and contract assets, which resulted in a $2.1 million increase for the combined accounts, impacted our cash usage during Q4. Cash usage during Q4 was also impacted by continued development of Intel 18A eFPGA Hard IP and the integration of Synopsys Synplify ahead of orders. We are anticipating significant IP contract awards that will leverage these investments in 2025 and beyond. Going forward, we do not anticipate developing eFPGA Hard IP for new fabrication processes ahead of orders. Now moving to our guidance and outlook for the first quarter of fiscal 2025, which will end on March 31. Revenue guidance for Q1 2025 is approximately $4 million, plus or minus 10%. First quarter revenue is expected to be comprised of approximately $3.4 million in new products and $0.6 million in mature products. As Brian stated in his remarks, our lower than anticipated Q1 revenue guidance is attributable to the delay of certain large IP contracts that we thought would be awarded late in Q4 2024. With the recent wins and significant contracts, we expect to close in the very near-term that Brian also noted, we anticipate a significant rebound in revenue and profitability beginning in Q2, and solid revenue growth, non-GAAP profitability and positive cash-flow for full-year 2025. Based on the anticipated Q1 revenue mix, non-GAAP gross margin for the first quarter is expected to be approximately 50%, plus or minus 5 percentage points. This is mostly attributable to our lower revenue outlook. We are modeling our full year non-GAAP gross profit margin to be in the mid 60% range. Our non-GAAP operating expenses are expected to be approximately $3.2 million, plus or minus 5%. We are modeling our non-GAAP OpEx to be approximately $3.3 million per quarter during 2025. Please note that given the nature of our industry, we may occasionally need to classify certain expenses to COGS versus OpEx or capitalize certain costs. The classifications are mainly related to labor and tooling for our IP contracts with customers. Such capitalization may reduce OpEx and alter the timing for recognizing the corresponding expenses in COGS. This may cause variability in our quarterly gross margins and operating results that will usually balance out at the operating line. After interest and other income, we currently forecast that our Q1 non-GAAP net loss will be approximately $1.2 million to $1.4 million, or $0.07 to $0.09 per share. The difference between our GAAP and non-GAAP results is related to noncash, stock-based compensation expenses. In Q1, we expect this compensation will be approximately $0.9 million. This is the same as Q4 2024 and down 42% from Q1 2024. As a reminder, there will be movement in our stock-based compensation during the year and it may vary each quarter based on the timing of grants to employees. Cash flow for Q1 2025 is highly dependent on the timing of certain large contracts we anticipate finalizing this quarter. Setting that aside, we are confident that we will be cash flow positive in Q2 and for full year 2025. Looking back to 2024, we invested heavily ahead of contract awards to become the first and as it stands today, only supplier of eFPGA Hard IP for Intel 18A. We also invested to integrate Synopsys Synplify in Aurora ahead of being able to charge our customers for its use. To provide us with the flexibility to manage the expanding scope of our large government contract, and the timing and cash flow from large contracts we anticipate finalizing later this quarter, we will put an ATM in place following this call. The details of the ATM will be covered in an push up which is a prospective supplement and an 8-K filing with the SEC that will be available before the market opens tomorrow. With this improved flexibility, we are very well positioned to leverage the benefits of the aforementioned investments as we recognize revenue from recently awarded and pending contracts beginning in Q2. Thank you. With that, let me now turn the call back over to Brian for his closing remarks.
Brian Faith: Thank you, Elias, and thank you and your team for tight management of our finances that helped us realize a second straight year of non-GAAP profitability. We are very excited about our unique positioning as the only company currently offering eFPGA Hard IP that is optimized for Intel 18A. We believe the investments we have made during the last 9 months to achieve this unique position ahead of contracts will deliver solid RoI beginning this year. Inclusive of Intel 18A, we have established eFPGA Hard IP for six unique fabrication process technologies. We anticipate expanding this to 9 or possibly 10 during 2025 with all new processes being funded by customer contracts. We expect this expansion to be weighted towards TSMC fabrication processes. In addition to these, we expect to win new contracts for fabrication processes where we have already established eFPGA Hard IP. This means with those investments in our rearview mirror, new contracts will generate higher profit margins and higher positive cash flow. An example of this is the new contract targeting GF's 12LP that I mentioned earlier. We anticipate our first Direct to Storefront contract that I also mentioned will leverage this benefit too. We have extended this benefit in a recent win to include the leverage of off-the-shelf Hard IP Core designs we've developed. In this case, the customer will use our eFPGA Hard IP Core that we previously developed. In short, we are beginning to see the momentum and leverage provided by our past developments. These benefits will become more evident as we move forward. While the Defense Industrial Base will continue to be a very important element of our short and long-term growth, we expect to further diversify our end markets during 2025. In addition to expanding our fabrication process coverage, signing contracts with new customers and broadening the end markets we serve, we believe we will also win new designs with our existing customers. Several of these opportunities were highlighted earlier in my prepared remarks, and several others are a bit too early in the process to discuss today. In short, once customers adopt a specific supplier's programmable logic and user tools in a design, they become sticky and are used in future designs. We are already seeing evidence of this benefiting QuickLogic. With that, I would now like to open the call for questions.
Operator: [Operator Instructions] And first question comes from the line of Richard Shannon with Craig-Hallum. Please proceed.
Richard Shannon: Well, hi, Brian, Elias. How are you guys doing?
Brian Faith: Hello. How are you, Richard?
Elias Nader: How are you? Doing fine. Thank you. Well, let's see here. Obviously, given us a guide here for the first quarter, but I think it's more interesting to think about what you have in mind for the second quarter. You're talking about a sizable increase here. And then just want to make sure I've got the kind of parameters we are thinking about kind of breakeven in the profitability levels you're expecting for the year and then probably a couple of follow ups on that.
Brian Faith: So I can definitely take the first question, Richard, on the Q1 to Q2 transition. So the IP design pushes that we had talked about in the call starting from the late part of Q4. One of those is that $1.1 million one that was the first bullet of our earnings release today and what we went over in brief detail in the opening remarks. That one we expect in Q2 in full to be recognized. The second one is this one related to 18A. We've been public that we felt like this is sort of a mid seven figure deal and that would all be in Q2. And so when you add those two up and you look at sort of the baseline of revenue today being in that sort of 2-ish and up time or dollar value kind of paints the picture of Q2 being north of six, which is I think coinciding with the non-GAAP profitability and cash flow positive in the model for moving forward.
Richard Shannon: Okay.
Brian Faith: Does that answer your question?
Richard Shannon: Yes, yes. Very high-level, probably think about that and follow-up some other ones here. Brian, I did hear you talk about a funnel, which you talked about for at least year and half year. I'm not sure if that's something you're going to continue to do or not, but how do we think about that and whether you continue to use that metric as a way to judge how things are progressing?
Brian Faith: Yes, I'm glad you asked that question because we intentionally did not talk about the funnel in terms of quantitative numbers today. I will say quantitatively it is up, on a net basis, primarily from new eFPGA opportunities coming into the funnel. Given this is the first call of the year and given the feedback that we have been receiving over the last year from investors and other folks in that community, we decided that we are going to try to get away from actually putting out the actual number for that and focusing more now on these hard IP contracts that we're talking about, these development contracts because that's really where the rubber hits the road. But qualitatively, I will say that the funnel did grow from where it ended on our Q3 call till now and most of that growth was in the eFPGA part of the business.
Richard Shannon: Okay. All right. Fair enough here. Maybe let's touch on Intel 18A, an increasing amount of focus over the last few quarters on this seems very interesting. I guess my question is twofold. How do we see the opportunities from this node and how many different customers might we see develop over this year here? And as I get questions related to Intel generally across more than one of my coverage companies here, everyone is worried about potentially Intel getting broken up in some manner, which obviously hasn't been announced here. What's your response to people's worries about risks from that situation?
Brian Faith: Yes. I mean, firstly, let's talk about my view of what I've felt for a while, but what I've heard from others just on the overall demand for 18A. I think that if you look at really advanced process technology that's done onshore in the U. S, The established foundries, especially the U. S. Owned foundries, they're sort of end of the line is 12-nanometer or 14-nanometer depending on how you want to talk about process technology. There are more aggressive ones, but they're by foundries that have foreign ownership. So Intel being U. S. Owned, 18A is clearly more advanced than a 12 or 14 nanometer node. And I think there's a lot of interest from the government and the defense industrial base to have that sort of capability physically onshore and operated by a U.S. operated or owned foundry. So for those reasons, I think there's a lot of promise for the demand for 18A and I think there are several companies that Intel has talked about with respect to adopting 18 A. If you sort of parse that into two, there's the defense and then there's the non defense side or the government oriented and non-government oriented side. And I think that there are a lot of interests within the U.S government or the U. S. Defense base for 18A because of the power of the performance and the area gains of some advanced process like this. For that reason, I think regardless of whether Intel remains as Intel or is in different parts, I think that there's still going to be the strategic interest in that particular process node. And I think very recently, I think it was even last week, Intel foundry announced that they are now ready for production tape outs on 18A. So my hope is that we'll start to see more companies publicly acknowledging that they're interested or designing for 18A. And should they be needing or wanting or exploring adding programmability to those ASICs, then we're going to stand ready to be the first and only IP provider for eFPGA to enable that. And if you think about it, the more expensive it is to design a chip from an NRE perspective, from IP acquisition, from mouse sets and so on, the more value eFPGA actually has to that ASIC because you don't want to redo a very expensive ASIC very often. You want to have it serve a lot of use cases, a lot of end markets. And in fact, eFPGA is exactly how you do that at a silicon level. So I believe Intel 18A is going to be successful. I think we will be successful with it. We have more than one customer in our opportunity funnel. And I think the fact that we did make that investment speaks to that conviction that it's going to be a successful node for us and that if they want eFPGA IP for those ASICs, then we're going to be that guy, we are going to be that supplier and we are going to see more than one win this year on that.
Richard Shannon: Okay. Maybe two questions for me and I'll jump out of line. The first one is related to FlexLogix. I think your commentary was that the recently hired VP of IP sales is working hard to work with prior licensees or maybe those who are in process here. What kind of a timeframe do you expect to convert those or get subsequent designs start to see that pop up in your funnel and in bookings and then ultimately revenues? So would you call this a shorter period of time or a longer one or how would you characterize that?
Brian Faith: I would definitely say it's shorter and the $1.1 million win that we just talked about in the first bullet of our earnings release is actually one that Andy helped close and I would say accelerate faster than what it may have just naturally. I think that there's a lot of efficiencies that we can get from an organization when you have somebody in sales that knows where the fish [ph] are. And him being in FlexLogix, he clearly knows the parts of the pond to drop the line. And I think he understands the technology very well having sold it for 8 years and that's really helping from an efficiency standpoint and also just the communication of the value proposition standpoint. So I think that combined with those long term relationships he has, speaks well for the future and you don't have to trust me on that because that first order was his order.
Richard Shannon: Okay. That sounds great. My last question for you, Brian, before I jump out of here is, I'm trying to find my notes on your comments here at the very end of the call here. You talked about kind of diversifying end markets here. Well, defense industrial base will be a growth driver. You just talked about diversifying here. Maybe you can talk about where this is coming from, how this overlaps with the nodes you're working on. Maybe just expand on it. I'm not sure we're I mean, it's obviously great to see diversification, but wondering if you can give us any more detail as to how that develops over time.
Brian Faith: Yes. So we had already started to see some opportunities last year that were outside of the areas of aerospace and defense, which has obviously been our mainstay market. And I'd say that that part of the funnel has grown even faster with Andy coming on board because a lot of the engagements that I think FlexLogix had was also outside of the areas of Aerospace and Defense. And if you go back in time, you can see that where we had been proactively investing in process technology ports was sort of intentionally not trying to directly overlap with FlexLogix, right? We don't want to go someplace where somebody already is because that becomes more of a price war than anything else. With the acquisition by Analog Devices, now we can more purposely go after those other nodes like the TSMC ones I mentioned earlier, knowing that there is more of a greenfield there. And so again, you'll start to see that this year and that's done in concert with opportunities outside of aerospace and defense. So we have industrial now coming in. We have some communications in our funnel now. We even have some consumer ones believe it or not. And so I think that we are going to close some of those and those will drive new process technology ports that we haven't done so far. And we want that balance, but like I've said many times, I don't see that Aerospace and Defense is ever going to be less than 50% of our revenue just because that is such a prevalent market for programmable logic technology in general. And the other thing I'd say and this ties back to Andy for a second. He's coming in and he's knowing where the likely targets are or where we should focus our energy to help convert over if they're interested to QuickLogic. And I think he also understands how to leverage his team really well because it's after all is a team sale, bringing in the architects and the technical team. And those are resources that are very scarce in our company and we need to be very mindful of when we bring them in and how much time we do to really focus on efficiency. And I think he's got that mindset that speaks well for this $1.1 million and I think you're going to see that efficiency in this notion of selling course that we already have done as opposed to needing to do custom work for a customer. Faster times are revenue, better use of resources.
Richard Shannon: Okay. Excellent. We look forward to seeing more of that. I will jump in the line. Thanks a lot, Brian.
Brian Faith: Thanks, Richard.
Operator: [Operator Instructions] And the next question comes from the line of Martin Yang with Oppenheimer & Company. Please proceed.
Martin Yang: Hi. Thank you for taking my question. First question, on U. S. and the benefit you get from distributors into new regions. Do you think that the revenue ramp you see there could continue throughout 2025 or that follows more through normal seasonality?
Brian Faith: Could you repeat the last part of your question Martin? Will that contribute to '25 revenue or what else?
Martin Yang: Yes, in '25 revenue, the benefit you get from having the additional distributor, would that help your U.S. S3 family revenue to continue to go up in the sequential quarters?
Brian Faith: They definitely will. I mean, so really good external sales partners, whether they're reps or distributors, offload our direct resources to really spend time on more strategic accounts or pre filtering designs before they come into the funnel and consume resources. So I do think we will be generating revenue this year both from an IP, hard IP licensing as well as EOS S3. I was just on the phone with one of our guys today talking about a new EOS S3 opportunity from a distributor. So, they continue to come in even though it's a mature product. It's a great product for distributors to sell, being EOS S3 because it's very it's stable in all the support infrastructure software, silicon boards, et cetera. So they can run with it and then just bring our guys in when they need to do deal closing. On the IP side, it actually frees up the sales folks to focus on the more strategic sales that in some cases need more evangelizing before we get to a deal. But bottom line is we'll see I think revenue contribution this year from the distributors and new reps and that will also help accelerate more from our direct guys directly.
Martin Yang: Got it. Thank you. And then one question on the potential broader use of FPGA in [indiscernible] AI inferencing. You referenced one customer. Can you maybe elaborate on how that customer is utilizing FPGA in their applications? And what verticals are they in?
Brian Faith: Yes, I'm happy to do that. So if you go back in time and I'm talking a few years now, we collaborated with a university in Europe called ETH in Zurich in Switzerland. And there was a group there that does a lot of research around parallel ultra low power processing in semiconductors. And so a lot of what they were looking at is how do I reduce the computational energy required to do AI inferencing using RISC-V processors and some RISC-V processors actually came out of that research. And then how can I minimize that power energy consumption even further by augmenting that with embedded FPGA? And so we did this joint research project with them and we actually published that research together in a joint paper and it showed that the energy consumption, if you use embedded FPGA to offload computationally intensive convolution algorithms, you can reduce energy by like 20x. Now in a battery powered a system, a 20x energy savings is a big deal, right? It's a big deal in the data center. It's a big deal when you're doing dealing with batteries. So that paper became the basis of how we would talk about the benefits of eFPGA with other prospective customers, not just this university. And the 12 nanometer TSMC eFPGA win that we talked about last year, was sort of inspired by the outputs of that paper. And so that's the one that has the silicon back and they're going through the silicon validation. And, I'm hopeful that that will turn into another eFPGA win after they've gone through that. Clearly their validation is going to involve running algorithms and measuring power consumption both with and without the eFPGA contributing to the workload and see if there's a net gain there. But based on what we found in that paper, to me the published results speak for themselves and I'm pretty bullish about that. Clearly, we want to get beyond just that one customer, but I think the more demonstrable numbers we have coming like from this customer to supplement that one with ETH in Zurich will be used for sales collateral with other customers as well. But to be clear, it's not like the, it's not the training, the heavy duty, sort of iron that you see today that people are doing the GPUs. We are talking about much further out of the edge, just the inferencing part, where batteries and power matter.
Martin Yang: Got it. And just to clarify, so that customer, is that the larger well known international customer?
Brian Faith: That is correct.
Martin Yang: Thank you. And then my last question is on our revenue facing this year. So you expect a very significant step up for 2Q. And what are can you maybe talk about some of the puts and takes on the quarter revenue patterns in the second half?
Brian Faith: So like what we are mentioning qualitatively for Q2, it's going to be driven from embedded FPGA IP contracts. We are clearly planning on the continued investment by the U. S. government and the strategic Rad-Hard FPGA throughout the year, and then layering into that now more of these embedded FPGA IP designs. So we talked about the two big ones here contributing to Q2. We have several more of these 7 figure ones layering in from an opportunity timing for Q3 and Q4 revenue recognition. All of the ones that are looking into our financial planning on the revenue side are ones we already have in the funnel that we've engaged with for some time. And again, these are ones that we are targeting for these newer IP cores that we've developed, which are on more advanced process technology, which are higher average selling price, which means we don't need as many licenses to have significant revenue contributions in those quarters. Moreover, the fact that we've already ported to a node and or designed an actual core for a customer means that our operating expenses to do customer specific derivatives for those new opportunities is much less. And that's why we are, I think really pleased with those developments and how we should see better gross profit margin and cash flow in that second half because a lot of that investment has already taken place. A lot of leverage there in the model. Does that help answer your question, Martin?
Martin Yang: Yes. That's it for me. Thank you.
Brian Faith: Fantastic. Thank you.
Operator: And the next question will come again from the line of Richard Shannon with Craig-Hallum. Please proceed.
Richard Shannon: Well, thanks guys. Let me ask two more questions. First one is just regarding the strategic Rad-Hard opportunity here. How do we think about the revenue opportunity here versus past years? I know there's not a complete overlap between the kind of the phases here and the work going on with one or more foundries here. I'm not sure if you've elaborated clearly on exactly what that looks like for this year, but maybe just trying to get to the end conclusion here how to think about the revenue contribution this year versus last year, last few years on this project?
Brian Faith: Sure. So from a revenue contribution perspective, I think we are modeling sort of at the same level plus or minus a little bit as last year. There is some pretty interesting things I'd like to share about the latest contract, but as I put in the script, we are still seeking permission to talk in more detail and openly about those before I can do so publicly. But I am really excited about the things that we are doing this year for that. And like I said, the revenue should be plus or minus sort of in that same range as last year from a revenue perspective. Probably could be a little bit less, but I think what you'll see from the output, you'll be quite pleased.
Richard Shannon: Okay. I'll look forward to seeing that. And related to strategic Rad-Hard here, it sounds like things are mostly on track in terms of timing. Wondering if you agree to that? And then if that's the case, what kind of timeframe do we think about for getting the start of and/or even material or noticeable storefront revenues out of that?
Brian Faith: That is a question I'm going to need to punt until I get permission to talk about the stuff I'd like to talk about, if that's okay with you.
Richard Shannon: Well, since the government says so, I guess we'll have to both be satisfied with that answer. Maybe I'll ask another one as my last one then Brian here, which is use a phrase that maybe I've missed out on or not sure I quite understand. You talk about Direct to Storefront. What exactly does that mean?
Brian Faith: Yes, this is the first time we've introduced that direct to prelude or preamble. So, when we talked about storefront in the past, this has been where we are not just doing an IP port for a customer, we are actually doing a chip design for a customer, some of which must include embedded FPGA. The intention being that if we do the chip design, not only do we get the NRE for that, but we more importantly want to do the storefront sales and support that to that customer. So, as an example like this strategic matter at FPGA falls into that category, right? The development revenue is great. We are doing this design for the government. Ultimately, we want to do this so that we can be the storefront for that chip. So in a Direct to Storefront concept, this is where from the get go the customer is not evaluating whether they want to do any FPGA core, like they are doing a deal with us where the first phase of the contract is clearly about specifying what this device looks like. And from day one, they would want this to be a storefront deal with QuickLogic. So the Direct to Storefront is sort of saying that we are circumventing a lot of this drawn out evaluation back and forth. Do I want you to do the design? Do I want to work with a third-party? We are engaged with them on this whole path from day one that it's Direct to Storefront. So that's good. The customer is putting some skin in the game right now. We are working closely from an engineering perspective to make sure that the spec is meeting the mark, and then we can move into a contract for implementation, like I said, hopefully starting in Q3.
Richard Shannon: Okay. Fair enough. And that's all from you guys. Thank you.
Brian Faith: Thanks, Richard.
Operator: Thank you. There are no further questions at this time. I'd like to turn the call back to Brian Faith for closing remarks.
Brian Faith: Yes, I know that some of our other analysts who are having some maybe planned or unplanned connection issues. So we'll make sure that we connect with them offline after the call at some point. So thank you everybody for attending the call today. I'd like to update on some events and actually a lot of events in this next quarter. We are going to be quite busy with external events. So tomorrow we have the Oppenheimer 10th Annual Emerging Conference. That's a virtual conference. If you're interested in that, contact your Oppenheimer rep. March 6, we'll be at the Starting Five Virtual Conference. March 11, in Washington, D.C, the Intel Public Sector Summit. March 17 to 20, we'll be at GOMAC in Pasadena. It's the government microelectronics work, that's a great show to go to. We'll be at HEART in Monterey, April 7 to 11, again very oriented around radiation hardened semiconductor technology. April 19, Intel Foundry Forum, we've been talking about 18A, we'll be at the Intel Foundry Forum in San Jose. And then lastly, April 29 will be at the Andes RISC-V Conference in San Jose. As always, thank you for your time and support, and we will talk to you next time. Thank you.
Operator: Thank you. This concludes today's conference. You may disconnect your lines at this time. Enjoy the rest of your day.